Operator: Good day and welcome to The New York Times Company first quarter 2007 earnings conference call. Today’s call is being recorded. (Operator Instructions) For opening remarks and introductions, I would like to turn the conference over to Ms. Catherine Mathis. Please go ahead.
Catherine J. Mathis: Thank you and good morning, everyone. Welcome to our earnings conference call. We have members of our senior management team here today to discuss our results with you and they include: Janet Robinson, our President and CEO; Jim Follo, Senior Vice President and Chief Financial Officer; Scott Heekin-Canedy, who is the President and General Manager of The New York Times who normally joins us is ill today, so we have Denise Warren, Senior Vice President and Chief Advertising Officer of The New York Times Media Group; and Roland Caputo, who is the Chief Financial Officer of the Times Media Group. We also have Martin Nisenholtz, our Senior Vice President of Digital Operations; James C. Lessersohn, Senior Vice President, Corporate Development; Sue Stoller, Senior Vice President, Process Engineering; Tony Benten, our Vice President and Corporate Controller; and George Barrios, our Treasurer. Our discussion today will include forward-looking statements and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2006 10-K. Our presentation will also include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website, www.nytco.com. This conference call is being webcast and an archive will be available on our website, as will a transcript and a version that is downloadable to an MP3 player. An audio replay will also be available and the directions for it are in our press release. With that, I am going to turn the call over to Janet Robinson.Janet L. Robinson: Thank you, Catherine and good morning, everyone. Today we reported first quarter earnings per share from continuing operations of 14% compared with 21% in the same period a year ago. Excluding special items, we earned $0.25 per share from continuing operations, which was the same as the comparable number in the first quarter of 2006. The special items in the quarter were: a charge of $0.03 per share for staff reductions compared with $0.04 in the same quarter last year; $0.05 per share for accelerated depreciation expense for assets at our Edison New Jersey printing plant, which we are in the process of closing; and $0.03 per share for an unfavorable tax adjustment, primarily due to a change in New York State tax law, which was effective this past January. As a result of our strong expense discipline, which continues, operating profit before depreciation and amortization grew 3%, and it demonstrates that despite a difficult print advertising environment we continued to make progress on executing on our strategy of introducing new products, developing our content verticals, building our innovation capability, aggressively managing costs, and rebalancing our portfolio of businesses. I will briefly review each of these areas and the success we had on the quarter. First, developing innovative new products and services across platforms that meet the needs of our readers and advertisers. At the core of all that we do is our quality journalism. We are very pleased that earlier this week, the Times and the Globe received a Pulitzer Prize. The Times’ Andrea Elliot was honored in the area of feature writing for her three-part series about an Imam in Bay Ridge, Brooklyn. The Globe’s Charlie Savage was honored in the category of national reporting for his articles on presidential signing statements. This quarter we added an issue of Key, the New York Times real estate magazine, and an issue of Design New England, the Globe’s high-end magazine devoted to home and garden. We also added many new advertising positions, both in print and online, which have proven very successful. Our second major focus is aggressively pursuing leadership positions in key content verticals, both in print and online. In December, we relaunched the Times’ travel site, which provides information on more than 1,000 destinations around the globe. With the relaunch, traffic grew more than 50% in the quarter. In March, nytimes.com reported its highest traffic month ever as it continued its position as the number one newspaper website and increased its lead over the number two site. Recently, we redesigned nytimes.com’s automobile section, expanding its content from the Times and trusted industry sources, and adding a new listing section. We expect to see significant page view growth as a result of this redesign. Our third strategic focus is to build a vibrant long-term innovation capability that helps us anticipate consumer preferences and creates ways to satisfy them. This research and development group is closely aligned with our operating units so that its efforts can have immediate business impact, and they certainly have. R&D continues to collaborate with boston.com’s local search initiative, an extraordinary project in which we have created a custom search engine for the Boston DMA, servicing the best news, blogs and other sources. We believe that the software we have developed for this is sufficiently novel that we have applied for a patent. Although the local search product is still in beta, we are already generating new revenues through sponsorship, and pay-per-click advertising on the search results pages. Research and development is also working with about.com and all our newspaper units to introduce more video and a suite of services for mobile that we’ll begin to roll out in the third quarter. Having our digital operations share resources across operating units represents an important step forward in collaboration and efficiency. There is probably no better example of how we are operating collaboratively than our strategic alliance with Monster.com, which encompasses all our newspapers and combines the Times Company market-leading news and local websites with Monster's online recruitment expertise and services. We expect to complete the co-branding of all of our newspaper websites by the end of July. We believe this alliance will allow Monster and the Times Company to leverage each other's technology and marketing power. We expect it to accelerate our growth and at the same time turn a former competitor into an ally, helping drive our recruitment revenue. Our fourth area of strategic focus is continuing to rebalance our portfolio of properties as we allocate capital for the benefit of our shareholders. In January, we announced an agreement to sell the Broadcast Media Group for $575 million, allowing us to focus on our print and digital properties; and we are also selling our radio station, WQEW-AM, for $40 million. We anticipate that both of these sales will close shortly. Our fifth strategic focus is increasing our operational efficiency and reducing costs. There is a great deal of work going on in this area, which resulted in our costs decreasing year over year, both in this quarter and last quarter, excluding the extra week. Jim will discuss this in greater detail. Turning now to details of the quarter, as you have heard from others in the industry, the print advertising environment remained very challenging. At the Times Media Group, ad revenues decreased 4% in the quarter. Categories that performed well included: international fashion, which rose 23%, as designers heavily promoted their spring fashions, particularly in key women's fashions, which was the largest issue in 23 years; books, which increased 28% as the Times benefited from campaigns for popular new novels in the daily paper; and fine arts, which increased 38% due in part to the shift in the special museum section from April last year to March this year. Entertainment advertising, which trended down throughout last year, decreased 4% in the first quarter, mainly because of reduced spending by the studios for films that did not perform well at the box office. Live entertainment rose 10% due to growth in advertising from new Broadway shows and new advertising positions. Three categories where we saw significant declines were residential real estate, which decreased 8% because of the decline in the local and national housing markets; telecommunications, which was down 32% as wireless carriers reduced spending and last year benefited from increased advertising from the merger of AT&T and SBC; and automotive, down 21% mainly due to less advertising from domestic automakers. As I said earlier, new products introduced at The Times helped improve the revenue picture in the quarter. This year, more new products are planned, including additional issues of Key and Key Beauty, as well as special themed issues and sections. The New England Media Group continues to grapple with a soft economic climate and consolidation among major advertisers. First quarter advertising revenues decreased 4%. However, we are beginning to see signs that the new dollars coming into the market and the new products in our suite of offerings are having a positive effect. We are beginning to cycle the comparisons with Filene's, which had been the Globe's largest advertiser. Several significant retailers have entered the Boston market and more are scheduled for this quarter and the balance of the year. Ad revenues in the national category at the New England Media Group rose 6% in the first quarter due to growth in telecommunications, travel, network TV and cable, club and concert, and health care-related advertising. In the month of March, advertising revenues for the New England Media Group grew 2%. While we were pleased with this performance, retail advertising did benefit from the timing of Easter, in that the Sunday before the holiday fell in April in 2006 and in March in 2007. Retail advertising is usually strong on that Sunday, particularly for preprints, so we expect April to be adversely affected by this timing difference. New products benefited the Globe in the first quarter. Next month, the Globe plans to introduce Fashion Boston, a new monthly magazine which will be distributed to more than 100,000 high-income households in Boston and surrounding areas. At the Regional Media Group, first quarter advertising revenues decreased 7%, mainly due to softness in classified advertising at the Sarasota Herald Tribune. Recruitment, real estate and automotive advertising were each down significantly in the quarter. Total circulation revenues rose 1% in the quarter, mainly because of the home delivery and newsstand price increases we announced last fall for The New York Times. Circulation revenues declined at our New England and Regional Media Groups as a result of lower volumes. Other revenues at the News Media Group rose 4% in the quarter as a result of our focus on better utilizing our assets and creating new products and revenue streams. Commercial printing revenues increased across the News Media Group. Other revenues rose 5% at the Times Media Group where Baseline Studio Systems, wholesale delivery operations, and growth in subscriptions to Times Select contributed most of the increase. About.com had another strong quarter. Total revenues grew 24% to $23 million and its operating profit before depreciation and amortization rose 16% to $11.5 million in the first quarter. About.com's growth is attributable to higher advertising rates as well as increased volume. Part of this growth was an increase in the number of guides providing content on a greater number of sites under About.com's umbrella. At the beginning of January, we had 587 guides, and this year we expect that number will increase to nearly 700. In addition, last month About.com purchased youcomparehealthcare.com, a site that provides consumers with access to quality ratings and related information on hospitals, nursing homes and doctors. This acquisition will help About.com grow user engagement while also increasing advertising inventory in the important health category. About.com is among the top health sites. As of March, the Times Company was the 12th most visited parent company on the web in the United States with 43.5 million unique visitors, up 12% from March of 2006, according to Nielsen NetRatings. Traffic growth has been accelerating as we optimize our website for search. In total, our digital businesses generated about $74 million, or nearly 10% of the company's revenues in the first quarter. Last year, our digital businesses accounted for 8% of the company's revenues. To date in April, print advertising remains challenging, especially for classified advertising and in categories such as telecommunications and national automotive where we are experiencing declines. At our digital properties, we are reporting healthy gains. We are continuing to execute on our strategy of enhancing our properties with new products and services, developing our key content verticals both in print and online, expanding our research and development capabilities, rebalancing our portfolio, and maintaining stringent cost controls. We remain committed to improving our performance and increasing shareholder value. Now let me turn the call over to Jim.
 James M. Follo : Thank you, Janet. As Janet mentioned, we continue to tightly manage expenses in the quarter. Beginning with this earnings release, we are providing more detail on operating costs in the face of the income statement. We believe that this will make it easier for investors to understand how we are managing our expenses. Depreciation and amortization are shown separately from production and selling, general and administrative costs. In the first quarter, total expenses declined 1%. Excluding depreciation and amortization, operating costs decreased 2.3% or $16 million. Newsprint expense decreased 8.5% in the first quarter with 6.7% of the decrease resulting from lower consumption and 1.8% from lower prices. Over the past several years, we have taken a number of steps to decrease newsprint consumption. In August, we plan to reduce the page size of the Times to the evolving industry standard which will further cut newsprint consumptions and provide us with savings. In the fourth quarter, we plan to reduce the width of the Globe. Depreciation and amortization in the quarter totaled $44 million versus $35 million in the same period last year. The reason for the significant increase was the $12 million in accelerated depreciation we incurred as a result of our plant consolidation. We plan to merge our New York metro area printing into our newest facility in College Point, Queens, and to close our older Edison, New Jersey facility. Originally, we planned to sublet Edison through 2018, the term of our original lease. We decided however that it would be more financially prudent for us to buy the Edison facility, sell it, and then lease it back for the short amount of time before the two plants are consolidated in early 2008. These actions relieve the company of rental terms that were above the market as well as restoration obligations under the lease. As a result of the purchase and sale, we expect to have a pre-tax loss of between $65 million and $72 million in the second quarter. Bear in mind that with the sale of our broadcast group and radio station that are likely to occur in May, we also expect to have a pretax gain of approximately $235 million to $245 million that will more than offset this loss. The plant consolidation has significant savings associated with it; approximately $30 million per year in lower expenses. In addition, we expect to avoid the need for capital expenditures at Edison of approximately $50 million over the next ten years. We project a double-digit return on this project, which is expected to be completed by the end of the first quarter of 2008. As a result of the steps we have taken over the past two years, we have reduced costs and realized productivity savings. This work continues. In January, we announced that we planned to reduce the staff at the New England Media Group, mostly through voluntary buyouts. These buyouts are expected to be completed by the end of this quarter. In addition, we closed three farm bureaus in order to provide a greater focus on local coverage and journalism that most directly affects our readers. Our Regional Media Group announced several cost reduction measures for 2007. By the end of the year, all order-to-cash activities for the group, including billing, credit, collections and other processes, will be merged into one centralized operation in Lakeland, Florida. We consolidated our printing plants in Hendersonville and Spartanburg at the beginning of April. Circulation administrative functions for the group will be consolidated and reengineered. We anticipate that these initiatives will significantly increase efficiencies, reduce costs, improve customer service, and help us standardize business processes across the Regional Media Group. Another initiative we have underway is outsourcing functions, mainly in the systems and financial areas. Like many companies across the country, we plan to outsource several important functions to outside organizations whose technological scale and expensive resources allow them to perform such tasks much more efficiently. We are looking at opportunities across the company. Recently we engaged a major consulting firm to assist us in building on our productivity and cost reduction efforts throughout our organization. We expect these projects will bear fruit in the second half of the year. As Janet mentioned, a change in New York State's tax law resulted in a one-time charge in the quarter. While we expect to benefit from this tax law change going forward through a slightly lower New York State tax rate, our tax rate in the second quarter will be affected by the asset sales and resulting gain. For the year as a whole, excluding any unusual items such as the tax adjustment we had this past quarter and asset dispositions, we expect our normalized tax rate to be approximately 41%. Moving to CapEx, spending in the first quarter totaled $114 million, including $78 million for our new headquarters. We have begun occupying our new headquarters and expect to complete the move by July. Both depreciation and amortization and interest expense will increase beginning late in the second quarter as a result of our new headquarters. In addition, we expect one-time, move-related costs of approximately $4 million in the second quarter. Last month, we announced that we have signed a 15-year lease for five of our 28 floors. Given the healthy commercial real estate market in midtown, the lease will provide us with attractive rental income beginning late second quarter. Our improving cash flows and lower debt balances with the rebalancing of our portfolio give us the ability to raise our dividend. Last month, the company's Board of Directors announced that it was increasing our regular quarterly dividend 31% to $0.23 per share from $0.175 per share. We view this dividend increase as another important step in creating value for our shareholders. With this increase, our dividend yield is near 4%. Both our yield and our payout ratio are significantly above that of the S&P 500 and others in our industry. Recognizing that the media marketplace is in the midst of a significant transition, we will continue to exercise strong financial discipline as we execute our business strategy and allocate capital. With that, we'd be happy to answer any questions. Thank you.
Operator: (Operator Instructions) Our first question comes from John Janedis of Wachovia.
John Janedis - Wachovia Securities: Thank you. Good morning. Can you give us some more color on the Internet outlook? How broad-based really is the slowdown? Is it related to pricing, display and search? Or is it more so about.com?
Martin A. Nisenholtz: This is Martin. Let me just give you a couple of points on that, three, really. The first is that from a broad-based perspective, the industry itself has trended down a little bit coming in to this year. E-marketer, which is one of the sources that we use, has reduced its forecast by about 5 points down to 19%. John, you may have seen the Yahoo! results yesterday, so I think we have seen in general a bit of a slowdown in the business overall. With respect to our properties, about.com, as Janet said, grew 24% in the quarter, which is pretty good but off a little bit from last year when the volume at About was going through the roof. That is related to principally the CPC side of the business. The display side of About is doing much better this year than it was doing last year, but the CPC side is dragging it down a little bit because of that governor on volume. We have many programs and plans in place to increase volume throughout the year but given that we do not want to over-promise, we felt that it was prudent to send a signal that volume was abating somewhat. With respect to your question about this display, and this sort of relates to my first point, yes, there has been a slight slowdown in the display line at nytimes.com, but some of that has to do in the first quarter with a single extraordinary item that I am not going to get into, but the point is if that had not happened, we would have performed much better. And then finally, because the businesses are still significantly -- not dependent on but weighted towards in some respects the classified area, we have seen a slowdown in the real estate business overall. I think while the online side is trending very well, the upsells obviously are affected somewhat by that. I might end by simply saying that as I think we all know, the base at the Times company overall is quite large. It is much larger than many of the other companies and so off of the bigger base, the growth rates are obviously harder to attain. Overall, that’s the story. It is early in the year. The business is, as you know, quite volatile, so there could be some significant change as we go forward.
John Janedis - Wachovia Securities: Okay, thanks, and I’m sorry, but just to drop one more quickly, and to Janet; are you seeing or do you expect to see any kind of competitive pressure from Boston now at either the Globe or Metro?
Janet L. Robinson: We are proceeding with some very good programs at both the Globe and Metro to really capture more market share. The Globe enjoys a very strong market leadership in Boston compared to the other newspapers in the regions, and Metro has a very strong start in regard to the commuter newspaper realm. There is also some very good collaborative selling going on between the Globe and Metro that really gives a much larger and stronger footprint in regard to ad sales in that region.
John Janedis - Wachovia Securities: Great, okay. Thank you.
Operator: Our next question comes from Craig Huber of Lehman Brothers.
Craig Huber - Lehman Brothers: Good morning. A few questions. Janet, in the past you have been pretty clear you guys want to do more and more Internet acquisitions. I was wondering if you could give investors just a sense of what size you are looking for. Are you looking to do some more tuck-in type of stuff, or something of the size of about.com, where you spend $400 million or $500 million, or perhaps something even double that size or perhaps larger?
Janet L. Robinson: I think that with the sale of the broadcast groups, it is important for me to outline all of the uses of our cash before I comment on acquisitions. It is very clear that we want to provide a competitive dividend, as evidenced by our recent move in regard to our dividend increase. We certainly want to reduce debt. We are looking at our repurchase of stock and we certainly are investing in a high-return capital projects that contribute to improved operations, increase the revenues, and help us in reducing costs, such as you have seen with our plant consolidation and our width reductions. In regard to acquisitions, we have done many tuck-in acquisitions, small in nature, that have really helped us increase traffic and certainly consequently inventory opportunities on the web. Those have proven to be very successful. Baseline is a perfect example of that where we did not overpay. We exercised financial discipline. We not only got a revenue base coming into the company. We got an end-user opportunity in regard to a revenue stream, and again contributing to traffic increases. We also exercised financial discipline in the acquisition of About because if you were to look at evaluation of About now, it would be double, in some cases three times, what indeed we paid for it two years ago. So we will continue to look at acquisitions, but with acquisitions right now being very [hefty], it is extremely important for us to be very financially disciplined in regard to the acquisitions. We will not make acquisitions that would not return shareholder value in exercise and show that financial discipline.
Craig Huber - Lehman Brothers: Thank you for that, but I am just again curious, over the next couple of years, are you looking for something small and large? What is your thought on that, please?
Janet L. Robinson: We will certainly look at small acquisitions that we noted, our tuck-in acquisitions, to enhance our leadership role at nytimes.com and at About. If acquisitions of a larger scale are appropriate for our strategic directions, we would certainly look at those but it would have to be an exercise of financial discipline and a very strong return for our shareholders.
Craig Huber - Lehman Brothers: One other separate question; what was your cash cost, non-newsprint cash cost percent change year over year in the first quarter, adjusting for those staff reduction charges? Thank you.
James M. Follo: The total cash costs we said was 2.3, about a point of that related to newsprint.
Operator: We will now take a question from Alexia Quadrani of Bear Stearns.
Alexia Quadrani - Bear, Stearns & Co.: Thank you. On your New England properties, if you adjusted for the change in the Easter holiday, do you think you would continue to see a recovery in New England in April?
Janet L. Robinson: I think that we are seeing some good signs in April, Alexia. We are seeing many new advertisers enter the market. I think it is a little early to certainly say that we are on a strong advertising increasing trend, but I think we are seeing some very positive signs. We have seen many new retailers enter the market. Nordstrom’s is entering the second -- or Neiman’s rather is entering the second quarter. Nordstrom’s is entering in the fourth quarter. The Natick Mall is opening this year as well. The hotel industry is exploding in Boston with the W, the Intercontinental, and Mandarin Oriental going into the marketplace, and banks have also increased quite dramatically with Citibank opening 30 locations this year in Boston, and their being a heightened competition amongst Sovereign, Citizen’s and Banc of America. With the filing cycle, which we are still cycling against through the second quarter, we still have that to contend with but with a lot of these new advertisers entering the advertising base, we think that has opportunity for us going forward.
Alexia Quadrani - Bear, Stearns & Co.: You mentioned that compensation costs were going up pretty significantly at about.com. You went into detail there. Could you also let us know how compensation costs are trending on your other Internet properties? Is it going up as much?
Martin A. Nisenholtz: I don’t think we said anything about comp costs at our digital properties and I do not think that they are trending particularly upward.
James M. Follo: No, look, company wide -- we do not break it out but company wide, our compensation costs are down. In fact, our headcount is down I think year over year. If you look year over year, our headcount is down about 2.5%, and from the beginning of the year it has been about 1%. But we do not break out the components of compensation.
Alexia Quadrani - Bear, Stearns & Co.: Okay. Thank you.
Operator: Now we have a question from Dave Lewis of J.P. Morgan.
Fred Searby - J.P. Morgan: It’s actually Fred Searby. A couple of quick questions. One is on CPMs. If you could give us some of your thoughts on the evolution of CPMs at the Internet properties, what the potential is to raise them and then secondly, in the circ numbers upcoming, do you think -- if you could just give us some color on your expectations, specifically on the New York DMA, how you see things progressing there. Thank you.
Martin A. Nisenholtz: On the CPM question, we have consistently raised CPMs over the last couple of years in key positions. So the premium positions, particularly at nytimes.com, have been raised in double digits over the last several years. We have had four price increases in the last 18 months. With respect to the about question, overall CPMs are up pretty dramatically. Rates over, RPMs are up very dramatically over the last year. As I said, in response to the prior question, I do not want to be confused just to be confused. It’s the moderation of volume which affects the Google CPC revenue that is off of last year. So rates have been up quite dramatically. It is volume that has moderated, and by saying it is moderated, I do not mean it is decreased in an absolute sense. I simply mean it has decreased relative to what it was growing last year, but our CPMs remain strong. In terms of run of site, I think there you have more pressure on CPMs. With MySpace, Space Book, others pouring a tremendous amount of inventory into the marketplace, you have price pressure on run of site inventory, but in general --
Fred Searby - J.P. Morgan: So that means you actually think there may be price decreases or it is going to limit or dampen the ability to raise CPMs on the sites because of this new influx of inventory?
Martin A. Nisenholtz: We do not look at it that way. We basically price on the premium side. In other words, the overall premium rates are continuing to be strong. It is the run of site inventory where you have some moderation. Denise, do you want to add some flavor to that, or -- no?
Denise Warren: I think that’s well-said.
Martin A. Nisenholtz: Okay.
Janet L. Robinson: In regard to the circulation, we are expecting circulation declines at our properties, slight declines to mid-single digits, but from a standpoint of the efforts behind what we are doing with circulation, we are consciously looking at a focus in regard to the quality of the circulation, so consequently bringing third party down and focusing on individually paid. We also are making sure that we are looking at earlier delivery, both in Boston and in New York. We are looking at English as a second language efforts, particularly in the New York region and the NDM, to increase our exposure to the immigrant market. We are also doing more in regard to adding routes within the NDM as well, and our education programs have advanced quite nicely in the NDM, with several more copies per day being circulated at schools and colleges throughout the region.
James M. Follo: We have had some other good results in our circ, and one of the things I would like to mention is that we have eliminated our deeply discounted introductory offer. We phased this out in Q4 of ’06. What we are seeing is that customer retention is improving and the percent of people that are paying by credit card recently hit a new record. All of this is leading to a much more efficient marketing spend and we are very happy about that.
Operator: Our next question comes from Steven Barlow of Prudential Equity Group.
Steven Barlow - Prudential Equity Group: Thanks. In regard to Edison, you mentioned certainly the change there, what you are doing, but you also mentioned that there is the IRR is still a double digit. Could you elaborate a little bit on how, what decline there was in the IRR with the change in your decision to sell it now? Related to that, are there any increased costs at the College Point plant from what you originally anticipated?
James M. Follo: We do not see any additional costs about the ongoing savings at College Point. The transaction, while it took on a different structure, is only very modestly lower than our original IRR. But all things being equal, this is a good investment of our capital. It is a very good payback.
Steven Barlow - Prudential Equity Group: Related to the balance sheet, Jim, if you could help us on sort of the ins and outs, what we should see debt levels be at the end of the second quarter and whether the tax payments related to the gains, will those fall into subsequent quarters or into 2008?
James M. Follo: Let me say that we disclosed the loss -- I’m sorry, the gain that we disclosed on the sale of the property, the gain and the cash flow for that will be higher than the reported gain because we have a lower tax basis than book basis, so the proceeds we will be getting from that will be higher than the disclosed gain. We will be paying tax on that in a subsequent quarter. We will also be getting a tax benefit, however, from the sale of Edison. Just a moment on Edison, by the way. The key part of our strategy on selling versus leasing is it takes us off the hook as being a landlord and takes all the risk out of that.
Steven Barlow - Prudential Equity Group: Any kind of forecast you can give us for second quarter debt? It is hard to figure out, from our side, book versus cash, et cetera.
James M. Follo: We have talked more of a year-end number and that year-end number is going to be just probably a little bit more than $1 billion. Right now, we closed the quarter as you know, at 1.4, so we are expecting that number to come down to a --
Steven Barlow - Prudential Equity Group: Great. Thank you.
Operator: Our next question comes from Lisa Monaco of Morgan Stanley.
Lisa Monaco - Morgan Stanley: Good morning. Two questions; one, Jim, could you just give us a little bit of color on your expectation for the minority interest line? Secondly, can you give us a little color on how you are thinking about a potential sale lease-back of the new headquarters building? Thanks.
James M. Follo: On the new building, we are constantly evaluating how to best monetize that building, as we did with the rental income. I do not have anything to disclose today but obviously the values of that property have gone up dramatically, recently in fact. I think that puts in a pretty good position to create value and gives us some flexibility, so I do not have anything to say beyond that other than it does provide us with a good source of some -- certainly low-cost financing if that is the route we go going forward, but I have nothing to disclose there. I think on the minority interest side, we expect that to really be negligible going forward.
Lisa Monaco - Morgan Stanley: Okay, and then just with regard to the partnership with Monster, should we expect any additional costs going forward as you ramp up your sites for the co-branding?
Martin A. Nisenholtz: No, no additional costs. We hopefully will see significant additional upside but no additional costs that we can speak of.
Lisa Monaco - Morgan Stanley: Thank you.
Operator: Our next question comes from Karl Choi of Merrill Lynch.
Karl Choi - Merrill Lynch: Good morning. A couple of questions here. Regarding the leasing out of the excess floors, is there a way to quantify the rental income, and where would it show up in the income statement? Second, related to the monetization of the investments of the headquarters building as well, you mentioned there is no update as far as what format it would take, but should we think about after you have moved in completely that we should expect some sort of transaction? Or would it actually take a while before anything happened?
Janet L. Robinson: So your question is what would the timing of any transaction be, Karl?
James M. Follo: Without committing to a transaction, it is hard to answer that. Any real estate transaction in New York tends to be both complicated and time-consuming, but it would be -- it is hard to talk about timing without talking about a transaction, but every transaction, type of transaction comes with a different level of complication. That being said, we really cannot comment on that. As far as the rental income, we had previously stated that we thought it would be about $10 million to $12 million. We have not updated the market since then. The market has been very healthy and we are more than satisfied with our ability to monetize those floors. We will be recording rental income in the New York Times Media Group, as well as a substantial portion of the expense on that relates to the New York Times Media Group with some portion being allocated to corporate as well.
Janet L. Robinson: Karl, I would just add that with the valuation of the new building increasing so dramatically since we made the decision to move into the new headquarters, it is clear that it is an asset that we want to work for us, as evidenced by the fact that the five floors have been leased out. What we do want to make sure is that we evaluate, of the people that need to be in that headquarters building, which we are in the process of doing. There are people that are located in other parts of the city that do not need to be in that headquarters, so we are looking at the occupation of the floors very, very carefully.
Karl Choi - Merrill Lynch: Last question, regarding the regional group, you mentioned in Boston the benefit from the timing of Easter. Should I assume that the regional group also benefited from the timing, but it was overwhelmed by the declines in classified?
Janet L. Robinson: They were not -- they were not as affected, really, by the Easter switch. The issues that they are dealing with is real estate, help wanted, and automotive, particularly, Karl, real estate in Sarasota.
Karl Choi - Merrill Lynch: Thank you.
Operator: Our next question comes from Paul Ginocchio.
Paul Ginocchio - Deutsche Bank Securities: Thanks. Just the online guidance again, you did 22% across the board Internet related revenue growth the first quarter. Would we see that as a low point for the year or is this sort of the baseline?
James M. Follo: We have not really put a number out there. We are confident in our strategy but we have not committed to a number for the rest of the year.
Paul Ginocchio - Deutsche Bank Securities: So just lower than 30 but -- okay.
Martin A. Nisenholtz: As I said before, we are trying not to over-promise. It is very early in the year. The first quarter historically has been the toughest quarter in the online arena. The fourth quarter is typically the best quarter, as you probably know, so we are looking at the marketplace, as I said before, we are looking at some of the volume trends, and more than that, I would not read into it.
Paul Ginocchio - Deutsche Bank Securities: You had said there was some kind of extraordinary in the quarter you did not want to talk about. Was that a negative or a positive?
Martin A. Nisenholtz: It was a positive. Actually, we had a single advertising buy in 2006 on the display side which is not going to repeat and which if we had not had it, the display revenue number at nytimes.com would have been up significantly more than it was. It was a one-time item that affected that display line, which is a very important line of revenue for nytimes.com and therefore for the digital arena.
Paul Ginocchio - Deutsche Bank Securities: Great, okay. Thank you.
Operator: Our next question comes from Peter Appert of Goldman Sachs.
Peter Appert - Goldman Sachs: Good morning. Jim, could you remind us, what is the annualized incremental cost of the new headquarters in terms of both the interest and D&A you will be taking on?
James M. Follo: On an annual basis, they are about $32 million each, on an annual basis. So we will, you know, a little bit more than half of that will be seen because we will start occupying late this quarter.
Peter Appert - Goldman Sachs: So 64 total?
James M. Follo: That’s right.
Peter Appert - Goldman Sachs: And that is before the 10 to 12, obviously, of rent income?
James M. Follo: That is correct. That is correct and you know, quite frankly, the rental income and the operating costs are a bit of a wash.
Peter Appert - Goldman Sachs: Okay, so the incremental operating costs not incorporated in interest and D&A?
James M. Follo: Right. Now recognize on a comparative basis, however, we have operating costs here without rental income, so that goes away and is replaced by operating costs with offsetting rental income so you have a little bit of a benefit there on a comparative basis.
Peter Appert - Goldman Sachs: How big would that number be?
James M. Follo: As a comparison?
Peter Appert - Goldman Sachs: In terms of the operating costs you get to give up?
James M. Follo: I would say it is comparable. The operating costs in both buildings I would say is about comparable.
Peter Appert - Goldman Sachs: Okay, got it. And then, an unrelated item, Martin or Janet, you spoke optimistically about the Monster deal. I am wondering if that makes you think more about the possibility of doing something along the lines of what these various publishers have done with Yahoo!?
Martin A. Nisenholtz: Let me parse your question into two answers. First, if by what these publishers have done with Yahoo! you mean doing smart partnerships, I think the answer to that question is yes. We believe that Monster is an extremely positive partnership for us and we are constantly looking at partnerships like Monster in all parts of the business. In fact, we have one of the best partnerships I think with Google of anyone in the newspaper business or outside of the newspaper business. So yes, we are always looking for partnerships. If your question is specific to the Yahoo! consortium, we have a good contract and a strong relationship with Google right now and we continually review our options in this space and see significant opportunities for additional media alliances, but at this stage we have no plan to join that consortium
Peter Appert - Goldman Sachs: Is the issue, Martin, that you feel you have sufficient critical mass in terms of traffic that you don’t need to? Is that what holds you back?
Martin A. Nisenholtz: That is absolutely part of it, yes. We have, as Janet said, we are the 12th largest entity on the Internet, which is completely different from many of the smaller newspaper companies in the space who are locked into their local markets and cannot get distribution. We are world-class in search engine optimization and other web-oriented distribution methodologies. We had, as Janet said, a record month in March at nytimes.com, both in terms of page views and unique users, and we have significant scale. We are not Yahoo! but we have a big technology team and obviously a very significant sales force, both at the Times and now a growing one at About. I think that your point is right on.
Peter Appert - Goldman Sachs: I guess the only issue is could you monetize that traffic at a higher level, because while you generate -- it feels like the Internet revenues you generate, while impressive, certainly relative to other newspaper companies versus the monthly uniques you have, perhaps you are not monetizing it at as high a level as some of these other pure play Internet companies do.
Martin A. Nisenholtz: No, I disagree with that. There obviously is a cliff from the top two or three Internet companies in the space, Google and Yahoo! in particular, down to the second tier, and the second tier includes folks like us and Viacom and Disney. I think all of us have the challenge of better monetizing our unique users and we are all working on that very hard, the Times company first among them. I would argue that in terms of monetization, our relationship with Google is quite strong. Again, all you need to do is go back and look at those Yahoo! results yesterday to see that their ad sense product, Panama, has not yet kicked in, so we will continue to monetize these pages in whatever ways we can. That refers back to my point before on the CPM issue, which is that we do not look at it in terms of CPMs. We are looking at it in terms of revenue per thousand pages. We are looking constantly for every opportunity to monetize a page, whether it is CPM, whether it is classifieds, whether it is e-commerce or CPC, increasing the cost per acquisition deals, so the page is looked at on a revenue per thousand metric, not on a cost per thousand.
Peter Appert - Goldman Sachs: Thank you.
Operator: Our next question comes from William Bird of Citigroup.
William Bird - Citigroup: I was wondering if you had any numbers to put to the outsourcing initiative that Jim mentioned. Secondly, I was just wondering how meaningful you expect the revenues to be on the Monster partnership. Thank you.
James M. Follo: We have regularly talked about our cost reduction initiative inside the entire opportunity in the $65 million to $70 million range. It is a component of that number. I wouldn’t say it’s the -- it’s certainly not the majority or a large portion of that. It is just one of many initiatives we have here. That is a number that is fluid. We are constantly looking at that area as one of many areas that we think there is additional opportunity, so we would expect whatever that number is today to grow over time. It is certainly one of the key issues and focuses of the company and is part of our ongoing process and the process of working with this consulting firm. But to quantify it is both difficult and is a level of detail we have not gotten into. And in the current year, it also includes some transition costs, so therefore that number would a two-tier benefit in 2008 and that number would grow.
Martin A. Nisenholtz: We have not -- I think it is premature to give you a number on Monster. We just entered into the agreement. Obviously we see tremendous upside there but I would not want to put a number out there. Just to give you a date though, all of this will be in place in July. In fact, we launch the regional Media Group up-sell next week, so we expect to see significant positives in the second half of the year.
William Bird - Citigroup: Martin, just as a follow-on, given the guide growth you are expecting at About, would you expect to see a resumption in the volume growth that has more recently been lacking?
Martin A. Nisenholtz: That is certainly one of our principal tactics in getting volume back to where we want it to be. We will go to almost 700 guides this year but please keep in mind that when we kick a new guide in and the content begins to get written, there is a bit of a lag time before it gets -- it becomes very visible to search. I would look at that more as a 2008 opportunity.
William Bird - Citigroup: Thank you.
Operator: We will take our next question from Edward Atorino with Benchmark.
Edward Atorino - Benchmark Company: You seem to have done better on newsprint than other folks. How were you able to get newsprint price lower than last year? Going forward, how much of a further decline would you see in pricing from your perspective, not the industry-wide?
James M. Follo: I think we saw a little bit less than a 2% on the rate side in the first quarter. Our full year guidance was mid to upper single digits. That is a full-year number, so the fact that we will see more of that back-weighted puts that number in the high single digit range. We have done a pretty good job on the consumption side via the stock tables and the TV listings that have driven, and also I think we have done a pretty good job on the wayside as well.
Edward Atorino - Benchmark Company: So you are on FIFO or LIFO -- remind me, LIFO?
James M. Follo: We are on LIFO.
Edward Atorino - Benchmark Company: Okay, that might explain it then, thanks. I would think that explains that. That’s it.
Operator: Our next question comes from Scott Davis of J.P. Morgan.
Scott Davis - J.P. Morgan: My question is a little peripheral for Martin, but as you correctly pointed out, you are one of Google’s most important affiliates in their ad sense programming. You have this mutually beneficial relationship. If I understand correctly, they are obviously providing the sponsored links on say about.com, but you are using ad networks and ad serving on the display side. I guess that raises the question in my mind what kind of opportunity you see as it relates to Google buying DoubleClick, and how would you feel about going from ad serving with Google or with DoubleClick to letting Google help broker the ads, if they are successful in what they want to do?
Martin A. Nisenholtz: Well, that is a fascinating question. Obviously we are exploring all options and want to do what is best for the business. Having said that, we also believe strongly that we need to have a direct relationship with our most important customers, particularly at our best branded properties, specifically of course the Times. This is a, as I said earlier, a very changing world. There are a tremendous number of opportunities out there for us, given the amount of traffic and unique users we are generating now. All of these things are on the table.
Scott Davis - J.P. Morgan: Thank you.
Operator: That does conclude today’s Q&A session. At this time, I would like to turn the conference back over to Ms. Catherine Mathis.
Catherine J. Mathis: Thank you all for joining us. If you have any other questions, please call. Thanks so much.
Operator: That does conclude today’s conference. We thank you for your participation. Please have a good day.